Operator: Good afternoon. My name is Yna, and I will be your conference operator today. At this time, I would like to welcome everyone to Schwazze's First Quarter 2024 Conference Call. [Operator Instructions]. 
 I would now like to hand the conference over to the company's external Head of Investor Relations, Sean Mansouri with Elevate IR. Thank you. Please go ahead. 
Sean Mansouri: Thank you. Good afternoon, and welcome to Schwazze's First Quarter 2024 Earnings Conference Call. Joining me on the call are Forrest Hoffmaster, Interim CEO and CFO; and Justin Dye, Chairman of the Board. The Company will begin with prepared remarks, and then we will open the call for Q&A. 
 I would like to remind you that management's prepared remarks and answers to your submitted questions may contain forward-looking statements which are subject to risks and uncertainties. Examples of forward-looking statements include statements regarding legislation and regulation, Schwazze's future results and financial position, and Schwazze's business strategy and plans for future operations. 
 Such forward-looking statements may be preceded by the words plan, will, may, continue, anticipate, become, develop, expect, believe, project, could or similar expressions as they relate to Schwazze. Investors are cautioned that all forward-looking statements involve risks and uncertainties that may cause actual events, results, performance or achievements to differ from those anticipated by Schwazze at this time. Additional information concerning factors that could cause events, results, performance or achievements to differ materially is available in Schwazze's earnings release made available before this call, and available on Schwazze's Investor Relations website and in Schwazze's annual report on Form 10-K for the year ended December 31, 2023, filed with the Securities and Exchange Commission on March 27, 2024. 
 In addition, other information is more fully described in Schwazze's public filings with the U.S. Securities and Exchange Commission, which can be reviewed at www.sec.gov or on sedar.com or on the company's Investor Relations website. Also, Schwazze may discuss non-GAAP financial measures during today's call. A reconciliation of the differences between the non-GAAP financial measures discussed during the call and with the most directly comparable GAAP measure can be found in Schwazze's earnings press release made available before this call, and available on Schwazze's Investor Relations website. 
 I would now like to turn the call over to the company's Chairman of the Board, Justin Dye, for opening remarks. Justin? 
Justin Dye: Thank you, Sean. Good afternoon, everyone, and thank you for joining us to discuss our financial and operating results for the first quarter of 2024.
 As we review the overall U.S. cannabis market, Schwazze competes in 2 of the most competitive markets in the cannabis sector. The needs and preferences of our customers continue to evolve, and these changes are accelerating. As we assess the environment, we believe that we have a unique opportunity and window of time to take a stronger leadership position by differentiating our business over the next several quarters. Therefore, we're prioritizing investments in the customer experience through strategic discounting, optimizing product assortment and promotions, investing in training and development of our people and simplifying operations to build new capabilities and competitive advantages for the future. These initiatives take time, and we've always maintained a belief that leading the business for the long term is the proper way to create value for our most appreciated loyal stakeholders. I'm very optimistic about our future and confident these investments will translate into Schwazze becoming an even stronger company and competitor in the future. 
 We continue to build one of the most sophisticated operators in our sector. As we monitor real-time progress in Colorado, our focus on the needs of our customers is paying off. Our store teams continue to provide a wide assortment of high-quality products at attractive values for our shoppers. We pride ourselves on providing fast, friendly and knowledgeable service. These strong fundamentals have enabled our Star Buds, Emerald Fields, and Standing Akimbo stores to outperform the market. I believe our success against the challenging backdrop in Colorado demonstrates the effectiveness of our operating playbook to perform in the most competitive markets in cannabis. 
 In New Mexico, new license proliferation continued to significantly outpace state cannabis sales in the first quarter. The state's regulatory body has taken actions to further their commitment to license enforcement as they now have 14 inspectors conducting compliance checks at an accelerated rate. In Q1, we saw 72 store closures and a 33% sequential decrease in net new store openings. Furthermore, in April, the state's dispensary count decreased month-over-month for the first time since adult use was legalized in 2022. We believe this trend will continue and eventually flip net new stores from positive to negative, which will be a tailwind for our business as bad actors get taken out of the market and we have a more regulated environment to compete in. 
 Before handing it over to Forrest, I'd like to quickly touch on the recent news regarding rescheduling. We're pleased with the proposal by the DEA to reclassify cannabis from Schedule I to Schedule III, supporting the initial recommendation from the HHS in August of last year. This news not only benefits Schwazze, but the entire cannabis industry, as it marks a significant step towards the removal of the  onerous 280E tax burden while opening the door for subsequent overdue legislation. We will closely monitor next steps on the proposed ruling. And in the meantime, we'll continue to operate our business with heightened liquidity disciplines and a focus on profitability as we await the outcome. 
 Forrest, over to you. 
Forrest Hoffmaster: Thanks, Justin. I'd like to begin by conveying my appreciation to the Schwazze team for their leadership, execution and relentless commitment to winning over our customers in 2 of the most highly competitive retail markets in the country. We delivered another period of revenue growth in the first quarter while continuing with the persisting competitive challenges in both Colorado and New Mexico. 
 During the quarter, we continued to sharpen our pricing and promotional efforts while enhancing the in-store experience, widening our assortment, improving our in-stock position and advancing our loyalty program to attract and retain new customers. We also strengthened our wholesale business with quarter-over-quarter growth while surpassing 30% total door penetration across both states. 
 Moving into our markets, starting with Colorado. As Justin mentioned, the Colorado market remains highly competitive with more than 680 active recreational licenses, underscoring the importance of delivering an exceptional customer experience and fully integrated retail support program. Retail pricing has recently stabilized. However, statewide cannabis sales in the first quarter were down 10% year-over-year due to lower volumes. With the durability of our operating playbook, we once again outpaced the market, generating 9% year-over-year sales growth, and expect to continue driving improvements in customer acquisition, retention and loyalty to further drive market share in the state. 
 From a wholesale market standpoint, cultivation licenses are declining and wholesale pricing has continued to stabilize in Colorado, with flower AMR holding at an average price of approximately $750 per pound for the third consecutive quarter. Our wholesale penetration in Colorado increased to 30% of total doors during the quarter, as we are now in approximately 200 doors in the state, contributing to our 15% quarter-over-quarter sales growth in quarter 1. 
 Our wholesale catalog continues to grow. Sales from our licensed pre-roll brand, Lowell Farms, increased more than 3x quarter-over-quarter in Colorado, where it continues to be the #1 pre-roll in the state. We're thrilled with the early momentum from Lowell Farms and are excited about our new product launch road map for the remainder of the year. 
 Moving on to New Mexico, new license growth continued to outpace state cannabis sales in quarter 1 as store count grew to more than 690 retail locations as of March 31, a 31% year over year increase, while the market grew only 13% during the same period. We are driving sequential improvements in store traffic by offering our patients and customers a broader selection of products with high-quality flower at all tiers. Additionally, we continue to sharpen our pricing and promotional strategy as well as enhancing  in-store experience and we've begun to see positive momentum exiting the quarter and in recent weeks. We will continue to closely monitor our pricing relative to peers to ensure we're competitively positioned in the market, while maintaining our high standards for quality and exceptional service. 
 From a wholesale standpoint, we doubled sales in New Mexico on a year-over-year basis, while increasing penetration to more than 200 doors across the state. We also made progress with Wana, expanding our new Mexico wholesale catalog, which was up more than 2x in sales from the fourth quarter. The early signs of our expansion into New Mexico wholesale market are promising and we'll continue to capitalize on the opportunity with our new product road map in coming quarters. 
 In March, we announced the grand opening of a medical and recreational dispensary under the Everest Apothecary banner in Las Cruces, New Mexico. With this addition, we now have 34 stores across the state between the Everest and R.  Greenleaf banners, each serving a unique customer demographic. We are proud to have the opportunity to serve both the patients and customers in Las Cruces with our wide assortment of high-quality products and exceptional customer service. 
 On the regulatory front, we are encouraged by the increasing illicit market enforcement by the New Mexico Cannabis Control Division. The state saw 16 net new store openings in quarter 1 of 2024,  compared to 24 in the fourth quarter of last year, with 72 closures in the first quarter of 2024. Per a report from Beacon Securities in April, New Mexico had a month-over-month decrease in dispensary count for the first time in 2 years with the second highest closure rate on record. We believe this trend will grow and will continue to support the state as it develops its regulatory framework. 
 With regard to cultivation and manufacturing in both states, we continue to focus on optimizing the cost and quality of our supply chain operations. By leveraging sales and inventory demand data from our stores and wholesale team, we are more closely aligning our manufacturing and grow operations to consumer demand, which will enable us to efficiently rightsize our supply chain and more productively utilize working capital. While we still have synergy opportunities with facility consolidation in New Mexico, we are making chain-wide progress on quality, yield and overhead efficiencies. 
 Since entering our first cannabis market in 2020, we've rapidly scaled our footprint through 13 acquisitions, building a leading retail footprint in both Colorado and New Mexico. We are now narrowly focused on optimizing our asset needs to drive operating efficiencies while maximizing the output of our retail, cultivation and manufacturing operations. 
 Over the coming months, we plan to consolidate cultivation facilities and eliminate underperforming stores that no longer align with our high-margin expectation. These efforts will better position us for long-term profitability and sustainable growth. We look forward to providing updates as we work through this optimization cycle. 
 Let's quickly touch on our quarter 1 2024 financial results. Total revenue in Q1 increased 4% to $41.6 million, driven primarily by the growth from new stores, partially offset by continued pricing pressure and the proliferation of new licenses in New Mexico. Gross profit for the quarter was $17.9 million, or 43% of total revenue, compared to $21.8 million, or 55% of total revenue last year. The decrease in gross margin was primarily due to the aforementioned pricing pressure in New Mexico as well as higher medical sales mix in Colorado. Operating expenses for the first quarter of 2024 were $20.6 million, compared to $16.2 million in the year-ago period, with the increase primarily driven by personnel expenses and four-wall SG&A costs associated with the 21 additional stores in Colorado and New Mexico that are still ramping. 
 Loss from operations in quarter 1 2024 was $2.7 million compared to income from operations of $5.6 million last year. Adjusted EBITDA was $7.3 million or 18% of revenue, compared to $14.5 million or [ 32.6 ]% of revenue last year, with the decrease primarily driven by lower gross margin and higher operating expenses associated with the 21 additional stores that are still ramping. 
 As of March 31, 2024, cash and cash equivalents were $13.2 million. Total debt stood at $159.7 million as of March 31, 2024. Looking ahead, we will continue to enhance our retail points of differentiation as we sharpen pricing and promotional efforts and focus on delivering the right high-quality assortment with exceptional customer service while expanding wholesale penetration in both states. We are also driving operating efficiencies to unlock working capital and EBITDA while further optimizing our asset base. 
 We are narrowing our focus and resources as a retail-forward organization, rationalizing vertical operations and beginning to sunset underperforming stores to protect our margins and wisely preserve capital for high return reinvestment. By leveraging our operational expertise and implementing rigorous cost measures, we believe we will better position Schwazze to return to its strong levels of profitability moving forward. 
 That concludes our prepared remarks. I'd like to now pass it back to Sean, who will open the call for Q&A. 
Sean Mansouri: Thank you, Justin and Forrest. And thank you, everyone, for participating in the conference call. We'll now begin the live Q&A session. After we conclude the live Q&A, we will address questions that have come in via e-mail over the past couple of weeks, and even the past hour since issuing our results. Operator, over to you. 
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Your first question comes from the line of Russell Stanley from Beacon Securities. 
Russell Stanley: I guess first on the retail front and the plans to look at eliminating some underperforming stores, wondering if you have preliminary thoughts you can share around how many stores might be impacted? And secondly, I guess, whether there may be candidates or the potential for relocation rather than full closures. Any color there would be helpful. 
Justin Dye: Hey, Russ, happy to take it. We currently have 3 that we are looking at and we'll soon announce the closures of those; those are in Colorado. And we see those as candidates for reallocating the license versus full closure, just taking the opportunity of starting that process now. 
Russell Stanley: Great. And maybe moving on to wholesale. Congrats on the growth there and the improvement in penetration. I imagine your [ roll and want ] have helped you get on shelves. I'm wondering now if the growth focus is really about adding more stores in each state or if you'd like to focus more on getting more of your own house brands onto each shelf, focusing on share of shelf. I imagine you want to go -- you want to expand both. But any thoughts on which one is favored at this point would be helpful. 
Justin Dye: Yes, good question. We're excited, really excited about what's happening in wholesale, the penetration growth that we're seeing in both markets, in particular New Mexico. But the team has been focusing on not just expanding doors. We have increased the size of our sales team, but so they're out expanding doors, but we're also working on the portfolio growth. We've seen really solid success with [ Wolerdco ], the Wana gummies, we feel like we have legs there as well. And we'll start to unveil the additional products across all form factors in the coming quarters. And I think you saw on quarter 1, we launched the Stay Asleep and the pre-roll packs in New Mexico. 
 We've got the 1:1:1 Wana Pineapple and we've got the Every Day Weed full flower joints [ marozzen-infused ] joints in Colorado with plans to expand it in Mexico (sic) after that. So it's a little bit of both. In quarter 3 we're going to follow that with a new form factor. We've got exclusive distribution rights with [ airgraph a pricing ] platform and will sell that under several well-known brands in both markets. So just building depth across the categories where we see people moving from flower into other categories. So making good progress, more doors, making good progress on the expanded catalog. 
Russell Stanley: That's great. Maybe one last one from me and I'll get back in the queue. In New Mexico, it's encouraging to see the turn as it looks in stores' net additions. I'm wondering -- early in the process, I'm wondering how you'd even try to forecast this. So do you have a sense as to how long you think it might take to wind that store count down to a healthy level if -- a happy medium, if you will. Any thoughts on that would be helpful. 
Justin Dye: You bet, Russ. I mean we've always, as we've talked about in the past, we just -- we didn't see the market economics holding up half the volume in these dispensaries versus what we're seeing in Colorado and just an accelerating market starting to mature very quickly, much quicker than we saw in Colorado, pricing on the wholesale side dropping, competitive pricing dropping. 
 One of our biggest issues, as you know, has just been the illicit market. We're starting to get the help of the Cannabis Control Division increasing their efforts to subdue that. We are starting to see more and more closures and chained doors. So beyond that and just the overall market equilibrium, we've seen closures increase 36% sequentially from quarter 4 to quarter 1. And April was our first recorded month of negative net new stores with 26 closures. We actually see -- I think we had 72 closures in quarter 1, we started to see a reduction in openings as well. So our forecast suggests that we expect to flip negative in quarter 2. We're already seeing a pretty -- we've gone from 11% store count growth quarter-over-quarter in quarter 3 to 4% quarter 4 to 2% in quarter 1. And so recent activity suggests that will flip. 
Operator: And your next question comes from the line of Joe Gomes from NOBLE Capital. 
Joseph Gomes: I was wondering, you talked about the customer acquisition, retention, loyalty. Can you point to some data, give us some data points on what you're seeing there in terms of the improvement quarter-over-quarter or year-over-year? 
Forrest Hoffmaster: Yes. Not as good as we'd like, honestly, Joe, which is why we're focusing on it. We've -- one of the biggest issues we've had within our loyalty program is the platform and just the way we reach our customers through text messaging and the stability of that. And -- so really, we're looking at the platform overall. We're looking at making sure our messages are reaching our customers, but we also have a lot of really good data to help us start measuring the accuracy of our -- not just the accuracy, but the effectiveness of our promotional programs and then the elasticity of those. 
 So from a penetration standpoint, we've seen growth in Colorado steadily move. I think we were something like 37% in quarter 1 this time last year, we're at 68%. We have a big effort with new customer sign-ups. We are working to win back customers who we've seen come and go, and just making sure we're securing their loyalty. In New Mexico, we have over 70%, there more around 74%. So we have a really strong, from my years in retail, just having this kind of penetration is pretty incredible. We've got an active base of loyal customers. I think where those are statistics the qualified information is more about what we're doing next, and that's stabilizing the platform, improving our business intelligence and making sure we're understanding a little bit more about the customers so we can segment them appropriately and carry them along on the journey and just reach them with more effective promotions. 
Joseph Gomes: Okay. And one of the things you talked about the gross margin, impacting gross margin was the higher medical sales mix in Colorado. And I was wondering, maybe you can give us a little color on what's the margin differential between medical and recreational, what percent of revenues is medical today in Colorado? And what kind of growth rate are you seeing on the medical side versus the recreational side? Or any additional insight you can give to us on that would be appreciated. 
Forrest Hoffmaster: Yes. Good question. Obviously anticipated this one. When you look at year over year quarter 1 last year, let's not forget that some portion of that included an allocation that was part of that ERTC, that payroll credit that we received, and that was about $900,000. A big chunk of this is also the price investments that we're making in New Mexico and Colorado. And then as you mentioned, about 190 basis point impact is our medical business, the Standing Akimbo acquisition and the growth in medical overall. 
 To answer your question of the percent mix. We run about 8% total medical sales. We are seeing that growing. It's becoming a bigger part of our portfolio just as we focus on operational execution of the Standing Akimbo banner. The percent margin is closer to 35%. So when you look at our overall gross profit margin in quarter 1, '23, that was closer to 55%. You can start to see the weight of that. 
Joseph Gomes: Okay. And one last one for me, I'll get back in queue. So you had a use of cash flow from operations, about $3.7 million versus about $880,000 last year. Cash is down to about $13 million from $19 million at year-end. One, I guess, where are we -- do you believe you're going to see cash flow turn back positive, here in the second quarter? Secondly, how comfortable are you at that $13 million cash position? Does that give you enough firepower to do what you're planning on doing here going forward? 
Justin Dye: It does. And what we're focused on right now is we, I think we've been talking about the price investments that we needed to make in quarter 4. We responded a couple of months late to the game, and we went after it, and we knew it would take a little bit of time to get the bounce back on these price investments. We're starting to see 12- to 14-week bounceback on units. We made our farm investments in December and other investments trickling in, most of our investments in quarter 1. So in terms of cash used, we used it -- we made major investments as Justin mentioned, early on, in the customer experience in pricing. And we brought in, to offset the pricing impact we brought in third-party vendors, which carry a bit of a higher cost profile. We've improved the product assortment, though, improved our in-stock position, gave the customers a better experience with more selection. We've also been investing in training and development. And so when you take those investments and you start to cycle those out, I expect to see our margin increasing off of where it is today. I'm not going to tell you that we're going to get back to 55% margins. This is the new reality in New Mexico, what it takes to compete for market share. And we're moving from the heels to the toe and we're going after it. 
 So in terms of other areas to offset the working capital, we're definitely focused on freeing up cash through inventory management. We're starting with retail, making sure we got our sets right, our assortment, our in-stocks, and that's translating to what we produce [ call it fate ] and getting that supply chain right and so I'll free up cash that way. And then I think we'll see more of a fulsome review in quarter 2 about the restructure costs that have helped us make sure that we're freeing up cash there as well and putting all of our attention and investments on the customer and the customer experience. 
Joseph Gomes: Thanks, Forrest. Appreciate the insight. I go back in queue. 
Operator: Thank you. There are no further questions at this time. Mr. Mansouri, please proceed. 
Sean Mansouri: Thank you, Operator. We'll now run through a couple of presubmitted questions here, as I mentioned earlier, over the past couple of weeks and over the past hour. A number of these were addressed already on the call today, so we'll keep this succinct. Forrest, Justin, maybe could one of you provide additional color on the initiatives in place to drive efficiencies in your cultivation and manufacturing operations, while improving flower quality and yields? 
Unknown Executive: Yes, I'm happy to do that. Yes, this is a big area of focus. And I mean, first of all, we're seeing New Mexico and supply chain evolve rather quickly. And so mid-tier flower, New Mexico likes local product, but we are starting to see third-party CPG penetration there. We are seeing more affordable mid-tier flower come online. 
 And so -- and I mentioned that the biggest piece of what we're doing is making sure we have our demand signals right coming from the consumer into the retail. We've got the right holding power and in-stock position in our retail spaces, and then we've got our wholesale signals right. It's something we've been improving, we've been working on since the Everest acquisition in New Mexico, and we still have some runway there on making sure that we're looking at -- we're growing in the right tiers to give us the right margin profile. We are getting the right strains. We're producing the right products. 
 We have the ERP implementation that's giving us better visibility and control of our inventory levels overall there, and understanding where in the value chain we have opportunity. We are looking at LED light implementation in a couple of our growers to work on yields and quality there. And then like I said, just working on overall synergy work to see where we can consolidate, improve operations. 
Sean Mansouri: Perfect. And then last one here for the submitted questions, given the recent news on rescheduling, what is your stance on Schwazze's tax obligations going forward? 
Justin Dye: Yes. Thanks, Sean. During the call, I conveyed the appreciation for the DEA to reclassify cannabis to  Schedule III. We, along with the rest of the industry, we view this as a really important step forward, removing 280E and the subsequent overdue legislation. We're working closely with our tax council regarding our interpretation of 280E. 
 And I would say, based on internal discussions, we believe updating our tax position is a good thing to evaluate. I think it will reflect the nonapplicability of 280E and I think that position is becoming stronger and stronger as we go forward. So in fact, we may be in a position to amend our tax returns for previous years, which we think would be a good thing. Obviously, we're not going to count entirely on that. We're going to continue to work hard on the, running the business and being efficient as we can. 
 And look, I think in general, as we look at the business, we're in 2 tough businesses. We're in 2 tough markets. There's absolutely a shakeout. And we understand that shareholders are -- none of us are super pleased with where the share price is, and I understand that. But if you look at it, there's an absolute shakeout going on in both of these markets. And you've got 2 choices. You can artificially take margin and hold up margins or you can play and be really competitive and play for the long game and do the things that are going to make you really competitive and be a winner long term that are going to drive EBITDA, growth, and competitive advantage. And that's what we're going to do. 
 So for people that want to own a really good company that's going to have market share, we're going to continue to grow market share and grow value, shareholder value over time, then this is a good bet for people that want to see quarter-to-quarter in the short term, we're going to do what's right to build the business, and we've always said that. So that's really what Forrest is doing. 
 The Board is really happy with what we're doing now, we're being really competitive. We've invested heavy in pricing. And we're going to keep doing that. We're going to do what it takes to please our customers and consumers. And we're not afraid to compete and we're going to keep at it. We're going to stay efficient, and we're going to keep doing what it takes to please our customers at wholesale as well as at retail. And we think there's going to be a massive shake out this year. And we're going to be in that fight. And I think it will pay dividends. 
Sean Mansouri: Thanks for that color, Justin. That wraps up the pre-submitted questions. I will turn it back to Justin for closing remarks. 
Justin Dye: Yes. Thanks, Sean. I just want to say thanks. I want to thank all of our employees, I want to thank management. I want to thank all the participants who are listening to the call. This industry is -- it's an exciting industry. We have a lot of good things around the bend with regards to rescheduling to Schedule III. I believe that's going to take place. And we've got a really good business. And we're developing really good capabilities that will stand up in any market in this country. I'm really proud of what we have. I'm proud of the team. And this is a great business. And I want to thank our shareholders. I want to thank the folks that hold our debt. I want to thank our Board, this has not been an easy sector. We haven't got a lot of breaks, and we're building a great company. I think Forrest and the leadership team is doing the right things to take care of customers. And I just want to thank everybody because this is not for the faint of heart. Hard work, retail and wholesale, taking care of customers, takes great attention to detail and really takes a lot of passion. And I just want to thank everybody for their support, and we're going to continue to work hard, and we'll see you the next quarter. 
Operator: Thank you. That concludes our conference for today. Thank you all for participating. You may now disconnect.